Operator: Good day everyone and welcome to the IDT Corporation's First Quarter Fiscal Year 2017 Earnings Conference Call. During management's prepared remarks, all participants will be in listen-only mode. [Operator Instructions] After today's presentation by IDT's management, there will be an opportunity to ask questions. [Operator Instructions] In today's presentation, Shmuel Jonas, CEO of IDT Corporation will discuss IDT's financial and operational results for the 3 months period ended October 31, 2016. Any forward-looking statements made during the conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those and the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those they forecast. In the presentation, or in the Q&A that will follow, IDT's management may make reference to non-GAAP measures, adjusted EBITDA, non-GAAP net income and non-GAAP diluted EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP diluted EPS to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation Web site, www.idt.net. The earnings release has also been filed on the Form 8-K with the SEC. I would now like to turn the conference over to Mr. Jonas. Please go ahead sir.
Shmuel Jonas: Thank you, operator. Welcome to IDT's first quarter fiscal 2017 earnings conference call. My remarks today will focus on key operational and financial results for the three months ended October 31, 2016. Unless I indicate otherwise, results are for the first quarter of fiscal 2017, and are compared to the year ago quarter. For a comprehensive and detailed discussion of our results, please read our earnings release issued earlier today and our Form 10-Q which we expect to file with the SEC on or about Monday, December 12. Following my remarks, Marcelo Fischer, IDT's Senior Vice President of Finance and IDT Telecom's Chief Financial Officer will join me, and we will be glad to take your questions. Beginning this quarter, we enhanced our segment reporting structure by adding a new reporting segment, Unified Communications as a Service or UCaaS. This addition is intended to reflect a revolving operational structure and improved visibility into the performance of certain of our growth initiatives. Our financial results this quarter included a year-over-year decline in revenue and a decrease in SG&A expense, which significantly mitigated the impact of the revenue loss on our income from operations and adjusted EBITDA. Meanwhile, our bottom-line net income benefited from a number of factors particularly a one-time benefit from income taxes. IDT's aggregate revenue in the first quarter was $369.2 million, a decrease of $21.4 million from the year ago quarter, but a slight $1.1 million increase sequentially. In our largest segment TPS revenue declined $18.6 million, year-over-year to $360 million. Within TPS, retail communications revenue decreased $14.3 million in part reflecting our decision to significantly lower our rates to Mexico this past July due to changes in the market that we have discussed in the past. Wholesale carriers services revenue slid by $8.5 million primarily resulting from the absence in the first quarter of fiscal 2017 of the South American [currency] [ph] arbitrage opportunity that was a factor a year earlier. These declines were partially offset by a $4.1 million increase in payment services revenue. Within payment services, our international mobile top up products, our BOSS Revolution international money transfer business and national retail solutions all delivered robust sales growth. Turning now to our new UCaaS segment, revenue increased slightly to $7.1 million from $7 million in the year ago quarter, as rapid growth in sales of our Net2Phone Office, hosted PBX offering outstripped a decrease in SIP trunking revenue. In the third quarter of fiscal 2017, we reduced aggregate SG&A expense to $45.4 million, a $7.7 million reduction from the year ago quarter. As a result, we were able to significantly mitigate the impact of the aggregate revenue decline on income from operation and adjusted EBITDA, which came in at $5.2 million and $10.7 million respectively. This is the third consecutive quarter that we have delivered adjusted EBITDA of between $10 million and $11 million. Net income attributable to IDT in the first quarter was $21.9 million including $2.4 million other income net primarily resulting from foreign currency transactions as well as a net benefit from income taxes of $14.4 million mostly due to the reversal of a previous valuation allowance on foreign deferred tax assets. Turning now to some key operational developments. We continue to be very encouraged by the progress we are making in our early stage growth initiatives. Our Net2Phone Office hosted PBX offering a key component of the newly created UCaaS segment exceeded our internal goals in the first quarter and is seeing significant positive momentum. In the second quarter, we plan to launch this offering in Brazil with a promising line up of master agents ready to pitch the Net2Phone Office solution and the market appears to be right for us. Also in the first quarter PicuP signed up 1000s of customers for our free beta version and right now, this business has no revenue, we plan to go live at compelling and disruptive premium offer including attractive pay plans right after the New Year. A National Retail Solutions or NRS, we saw incredible growth this quarter. We are working with the rapidly expanding number of consumer package good companies to make coupons and discounts available to our retailers and their customers. Our business model is a win-win for customers and retailers, CPG, suppliers and distributors. Our international money transfer business has been doing well in recent quarters. We surpassed the 1 million transaction per year run rate earlier this year and revenue in the first quarter increased by over 150% compared to the year ago quarter. After the quarter closed, we also launched the new BOSS Revolution money app which includes money transfer on Android and iOS. We begin marketing the new app in the coming weeks and expect it will feed into the growth of our money transfer business. We also finally launched an update of the BOSS Revolution calling and messaging app on Android. And expect to launch on iOS in early 2017. After some hiccups at launch the app seems to be stable and in the past two weeks we have seen a steady up tick in users, minutes of use and engagement largely because of the peer-to-peer calling and messaging features in the new global markets. Last quarter, we began to roll out an update of the BOSS Revolution web platform for retailers. It is a major upgrade and we are confident that it will have a long-term positive impact on many of our businesses. We have migrated approximately half of our retailers to the new version so far and expect to resume the migration right after the holidays. Also during the first quarter, IDT announced an investment in Cornerstone Pharmaceuticals, the company pioneering a metabolic-based approach to treating some of the most intractable cancers including pancreatic cancer. Early clinical results on its lead compounds, CPI-613 had been encouraging and we are looking forward to the next phases of clinical trials. As you know, our Board of Directors has authorized management to pursue a spin-off of our non-core business and assets. Our preparatory work is proceeding and I expect that we will be in a position to complete the spin during the second half of fiscal 2017. In light of our performance and our increased level of investment in our new initiatives, our Board of Directors declared a $0.19 per share dividend for the first quarter maintaining the distribution at its current level. Now, Marcelo and I will be happy to take your questions, operator back to you for Q&A.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] And our first questioner today is Saidal Mohmand from GrizzlyRock Capital. Please go ahead.
Saidal Mohmand: Yes. Thanks for taking my question. I wanted to see, if you can provide any color on the incremental SG&A cost for the -- looks like all the new different initiatives that you guys have?
Shmuel Jonas: In terms of the entire amount spent?
Saidal Mohmand: Well, in terms of incremental which you guys are looking to spend over the next year or so.
Shmuel Jonas: I think that this past quarter actually probably had 75% to 80% or if you look at a run rate of what we plan to spend on a quarterly basis for it. Does that make sense?
Saidal Mohmand: Got it. Okay. So run rate, okay, this quarter is what you're saying in minus or a little bit extra, okay. And then, the other question I had a little bit, if you could talk a little bit on the cadence, how should we expect it to decline within the BOSS business particularly for the price and it looks like to be pretty significant price cuts in Mexico. How should we think about that?
Shmuel Jonas: As far as Mexico, I think that most of it is pretty much accounted for, maybe Marcelo has further thoughts on it.
Marcelo Fischer: Yes. Hi. As you know, I think as we reported, we took down the pricing to Mexico back on July 1 before the end of the last quarter. And since then, the reaction had been very much like we expected. We have seen a large stabilization in terms of the customer count in Mexico. We are still losing Mexican customers but probably at the -- just the 1/3rd of the clip of what we are losing prior to the price decline, so very much in line with what we projected that did have an impact obviously to our revenues and to our gross profit. And as we had mentioned in prior calls, our goal was to have adjusted cost structure and our businesses to all other destinations, so that we could neutralize to a large extent, the negative impact to margins and customer count as a result of the Mexico situation. And to a large extent our Q1 proved that to be the case.
Saidal Mohmand: And just to confirm, just confirm the severity of the price cut, I mean that was in the what 50% range give or take or how should we kind of model that?
Shmuel Jonas: It was more --
Marcelo Fischer: It was more than that, right. We took pricing from about $0.055 per minute to down to about $0.019 a minute to Mexico.
Saidal Mohmand: Got it. Okay. Thank you.
Marcelo Fischer: Sure.
Operator: [Operator Instructions] It looks like we have no further questions. So this will conclude our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect your lines.